Operator: Good morning, everyone and welcome to the Constellium Second Quarter 2024 Results Call. My name is Angela, and I will be coordinating your call today. [Operator Instructions] I would now like to hand you over to your host, Jason Hershiser, Director of Investor Relations for Constellium to begin. Please go ahead.
Jason Hershiser: Thank you Angela. I would like to welcome everyone to our Second Quarter 2024 Earnings Call. On the call today, we have our Chief Executive Officer, Jean-Marc Germain; and our Chief Financial Officer, Jack Guo. After the presentation, we will have a Q&A session. A copy of the slide presentation for today's call is available on our website at constellium.com, and today's call is being recorded. Before we begin, I would like to encourage everyone to visit the Company's website and take a look at our recent filings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the Company's anticipated financial and operating performance, future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading Risk Factors in our Annual Report on Form 20-F. All information in this presentation is as of the date of the presentation. We undertake no obligation to update or revise any forward-looking statement as a result of new information future events or otherwise, except as required by law. In addition today's presentation includes information regarding certain non-GAAP financial measures. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation which supplement our IFRS disclosures. Before turning the call over to Jean-Marc, I wanted to remind everyone that beginning last quarter, we revised the definition of adjusted EBITDA at the consolidated level based on prior discussions with the SEC. The new definition will no longer exclude the noncash impact of metal price lag. We will continue to provide investors and other stakeholders with a noncash metal price lag impact as it is necessary to get a true assessment of the economic performance of the business. Our segment adjusted EBITDA will continue to exclude the impact and any guidance we provide for adjusted EBITDA will also exclude the impact. And with that, I’d now like to hand the call over to Jean-Marc.
Jean-Marc Germain: Thank you, Jason. Good morning, good afternoon, everyone and thank you for your interest in Constellium. Let's begin on Slide 5 and discuss the highlights from our second quarter results. I’d like to start with Safety, our Number #1 priority. Our recordable case rate was lower in the second quarter, leading to a rate of 2.1 per million hours worked for the first half of the year. While this safety performance puts us among the best in manufacturing the rate is higher than where we want it to be, and we have done better in the past. This is a humbling reminder that while we always strive to deliver best-in-class safety performance we all need to constantly maintain our focus on safety to achieve the ambitious target we have set which is a never-ending task for our company and one we take very seriously. Turning to our financial results. Shipments were 378,000 tons, down 5% compared to the second quarter of 2023. Mainly due to lower shipments in P&ARP and AS&I. The lower shipments in AS&I were largely a result of the German extrusion business we sold last year. Revenue of €1.8 billion decreased 8% compared to last year primarily due to lower shipments and unfavorable price and mix partially offset by higher metal prices. Remember, while our revenues are affected by changes in metal prices, we operate a pass-through business model, which minimizes our exposure to metal price risk. Our net income of €71 million in the quarter compares to net income of €32 million in the second quarter last year. Adjusted EBITDA was €214 million in the quarter though this includes a positive non-cash impact from metal price lag of €42 million. If you were to exclude this impact of metal price lag, which we should as Jason mentioned earlier, the real economic performance of the business reflects adjusted EBITDA of €172 million in the quarter compared to the record €209 million we achieved last year. As mentioned in April, our second quarter results this year reflect the impact of two large planned maintenance outages during the quarter. In addition, we saw slowing in certain end-markets, as we moved through the second quarter, which we expect to persist in the second half of the year. Looking across our end-markets, aerospace demand remained strong in the quarter and packaging demand continued to improve. Automotive demand remained healthy in North America, though demand continued to weaken in Europe. Demand in most industrial and other specialty markets remained weak in both regions during the quarter. Jack will go through our detailed segment performance in a few moments. Moving now to free cash flow. Our free cash flow in the quarter was strong at €75 million. I am pleased to report that we increased our share buyback activities in the quarter. During the quarter, we repurchased nearly 1.6 million shares for around $33 million. Our leverage at the end of the second quarter was 2.5 times and remains within our target leverage range. While it did not have a significant impact on our second quarter results in late June, we experienced an unprecedented flooding event at our operations in the Valais region of Switzerland. I wanted to take a moment to thank our entire team in the Valais for their incredible results and courage to risk at this very difficult time. I will give you a full update on the current situation in Valais a little later on. With that, I will now hand the call over to Jack for further details on our financial performance. Jack?
Jack Guo: Thank you, Jean-Marc, and thank you everyone, for joining the call today. Please turn now to Slide 7, and let's focus on P&ARP segment performance. In the second quarter of 2024, P&ARP generated segment adjusted EBITDA of €64 million which was down 19% compared to the second quarter last year. Volume was a headwind of €5 million with lower shipments in packaging and automotive. Packaging shipments decreased 4% in the quarter versus last year, though demand in packaging continues to improve. Automotive shipments decreased 3% in the quarter with stable demand in North America more than offset by softness in Europe. Price and mix was a headwind of €3 million, mainly as a result of weaker mix in the quarter. Costs were a headwind of €8 million as a result of unfavorable metal costs. P&ARP results in the second quarter were also impacted by a large planned maintenance outage at our Muscle Shoals facility that Jean-Marc mentioned, as well as continued operating challenges at that facility during the quarter. Now let's turn to Slide 8, and let's focus on the A&T segment. Adjusted EBITDA of €83 million decreased 14% compared to the record second quarter last year. Shipments in A&T were stable versus the same quarter last year. Aerospace demand remained strong during the quarter, while weakness persisted in TID. Price and mix was a headwind of €23 million, mainly as a result of weaker aerospace mix, due to the planned maintenance outage at Ravenswood, as previously discussed. Costs were a tailwind of €10 million, primarily as a result of lower operating costs. Now turn to Slide 9, let us focus on the AS&I segment. Adjusted EBITDA of €32 million decreased 19% compared to the second quarter last year. Volume was a €6 million headwind as a result of lower shipments in automotive and industry extruded products. Automotive shipments were down 13% in the quarter versus last year, as a result of softness in Europe and the timing impact between certain program switches. Industry shipments were down 20% in the quarter versus last year, primarily as a result of the sale of our German extrusion business. Price and mix was a €7 million headwind primarily due to a softer pricing environment in industry and weaker mix in the quarter. Costs were a tailwind of €8 million on lower operating costs. FX and other was a headwind of €2 million in the quarter. It is not on the slide here but I wanted to summarize the current costing environment we are facing. As you know, we operate a pass through business model, so we are not materially exposed to changes in the market price of aluminum, our largest cost input. Throughout 2022 and most of 2023, we were faced with broad based and significant inflationary pressures. Although, the pressure began to ease in some categories in the fourth quarter last year and have continued to ease as we move through this year. Labor and other non-metal costs continue to be higher this year. As for energy, our 2024 costs are secured at moderately more favorable levels compared to 2023, although energy prices remain well above historical averages. We remain confident in our ability to control costs in any environment with top-line actions and our relentless focus on cost control as we have demonstrated in the past. Now let us turn to Slide 10 and discuss our free cash flow. We generated €75 million of free cash flow in the second quarter, bringing our year-to-date total to €67 million. The year-over-year increase in the first half, is a result of less cash used for working capital and lower cash interest, partially offset by lower segment adjusted EBITDA, higher cash taxes and higher capital expenditures. Looking at the full year in 2024 as we noted last quarter, we expect CapEx to be around €370 million this year which includes higher spending on return seeking projects, such as our recycling and casting center in Neuf-Brisach. The facility is expected to start up on time and on budget around the end of this quarter. We expect cash interest of approximately €125 million which includes the impact from higher interest rates. We expect cash taxes of approximately €55 million, and we expect working capital and other to be a modest use of cash for the full year. For 2024, we now expect to generate free cash flow of over €100 million, excluding the impact of flood in Valais. We plan to continue executing on our share repurchase program, and we intend to use a large portion of the free cash flow this year for the program. As Jean-Marc mentioned previously, we increased our share buyback activities in the quarter. During the quarter, we repurchased nearly 1.6 million shares for around $33 million bringing our year-to-date total to roughly 1.9 million shares for just over $39 million. Now let us turn to Slide 11 and discuss our balance sheet and liquidity position. At the end of the second quarter, our net debt of €1.7 billion increased slightly compared to the end of 2023. The change was driven primarily by our strong free cash flow of €67 million in the first half of this year slightly more than offset by €37 million of share buybacks and an unfavorable non-cash FX translation impact of €32 million with the strengthening of the US dollar. Our leverage was 2.5 times at the end of the quarter were down 0.2 times versus the end of the second quarter of 2023 and within our target leverage range. We remain committed to maintaining our target leverage range of 1.5 times to 2.5 times. As you can see in our debt summary, we have no bond maturities until 2026. Our liquidity remains strong at €869 million as of the end of the second quarter, which is the highest level in two years. We're extremely proud of the progress we have made on our capital structure and of the financial flexibility we're building, including the ability to continue returning capital to our shareholders. With that, I'll now hand the call back to Jean-Marc.
Jean-Marc Germain: Thank you, Jack. Let's turn to Slide 13 and discuss our current end market outlook. The majority of our portfolio today is serving end markets currently benefiting from durable sustainability-driven, secular in which aluminum light and infinitely recyclable material plays a critical role. Turning first to the Aerospace market. The post-COVID recovery in aerospace continues and demand in this market remains strong. Commercial aircraft backlogs are robust today, and we remain confident that the long-term fundamentals driving aerospace demand remain intact, including growing passenger traffic and greater demand for new -- more fuel-efficient aircraft. Major aero OEMs remain focused on increasing build rates for both narrow and wide-body aircraft, though supply chain challenges are again slowing deliveries of completed aircraft for sub OEMs. Demand also remains strong in the business and regional jet markets and the defense and space markets. In addition, we continue to experience strong demand for our Airware family of products. Turning now to Automotive. Automotive OEM production of light vehicles in North America is near pre-COVID levels, while production in Europe remains well below pre-COVID levels. Demand remains stable in North America today, while demand has further weakened in Europe, which we now no longer expect to recover in the second half of this year. Demand for EVs is continuing to grow, albeit at a slower pace than expected in the past. Consumer demand for luxury cars, light trucks and SUVs remained steady in North America though demand for luxury vehicles in Europe has softened. In the long-term, vehicle electrification and sustainability trends will continue to drive the demand for light weighting and use of aluminum products. As a result, we remain positive in this market over the longer term in both regions despite the weakness we are seeing in Europe today. Let's turn now to Packaging. Inventory adjustments in Canstock appear behind us, and demand continues to improve in both North America and Europe though promotional activity at the retail level remains below historical levels. The long-term outlook for this end market continues to be favorable, as evidenced by the growing consumer preference for the sustainable aluminum beverage can, capacity growth plans from can makers in both regions and the greenfield investments ongoing here in North America. We are expecting growth in Canstock in 2024, including some improvement in the second half compared to the first half. Longer term, we continue to expect packaging markets to grow low to mid-single digits in both North America and Europe. As Jack mentioned, the recycling and casting center we are building at our Neuf-Brisach facility is well underway and both on-time and on-budget. The project is still expected to start up as we approach the end of the third quarter this year and ramp up quickly. That is just a few weeks away. As we have discussed before, Muscle Shoals continues to face some ongoing operational challenges. We are encouraged by the improved performance we have seen there recently, and following the planned maintenance outage we had there in the second quarter, and we expect operations to continue to improve as the year progresses. As you can see on the page, these three core end markets represent just over 80% of our last 12 months revenue. Turning lastly to other specialties. We have experienced weakness across most specialties markets for around two years now. These markets are typically dependent upon the health of the industrial economies in each region. While the US economy remains stable today, the economy in Europe is weaker than our prior expectations. Many of our other specialties markets are also impacted by the higher interest rate environment across both regions. To conclude on the end markets, we like the fundamentals in each of the markets we serve, and we strongly believe that the diversification of our end markets is an asset for the company over the longer-term. Let's turn now to Slide 14. I want to spend a few minutes on two exciting investments we are making in our P&ARP segment to strengthen the business for the future. I'm excited to announce today that our facility in Muscle Shoals, Alabama was recently selected by the US Department of Defense, to receive a grant of $23 million to increase our internal casting capacity. The total size of the project is expected to be around $65 million inclusive of the US Department of Defense Grant. In terms of project details, we plan to install state-of-the-art casting equipment in an existing building at Muscle Shoals. Once completed, the new casting center will increase internal casting capacity by up to 300 million pounds or over 130,000 metric tons. In addition to reducing our reliance on external metal supply, the investment is expected to increase our use of recycled inputs and reduce the use of primary metal. The investment will also provide the U.S. industrial base with an additional self-reliant, domestic source of supply for aluminum rolling ingot. Flat-rolled aluminum products, including sheet and plate are critical material inputs of defense, aerospace, automotive, packaging and transportation industries. In terms of timing, we expect the casting center to ramp up in the second half of 2026. We’re extremely honored and proud to have been selected for this grant and express our gratitude to the Department of Defense for their support of Constellium and the aluminum industry. Moving on to the second investment I'm also excited to announce today that we have signed a long-term agreement with Lotte Infracell in Europe. Lotte Infracell is a subsidiary of Lotte Aluminum and part of Lotte Corporation which is one of the largest cables in South Korea with global operations. We are thrilled to collaborate with Lotte and supply their European operations as our high-quality foilstock from our Singen facility in Germany. The foilstock will be used in electric vehicle battery applications to support future growth in the electric vehicle market. The total investment is around €30 million with a contractual support of Lotte and will include new finishing lines at our Singen facility to enhance production capacity. The project is expected to be completed by the end of 2025, with scheduled ramp-up in 2026. This strategic investment is expected to further cement Constellium Singen's position as a key player in the aluminum automotive specialties market and to diversify the customer base of our specialty foilstock. We expect both projects to well exceed our target IRR of 15%, and we expect both projects to be funded within the existing return seeking CapEx levels. Please turn to Slide 15 now, and I want to give you an update on the situation we are facing in the Valais. In late June, we experienced unprecedented flooding in the Valais region of Switzerland, which devastated the region including industrial activities at Constellium and elsewhere. Our plate and extrusion shops in Sierre and casthouse in Chippis were severely flooded and operations have remained suspended since the flood. Our casthouse stake was not directly impacted and has returned to normal operations. I am pleased to report that all of our employees in the region have been confirmed safe, which is obviously the most important thing. But there is significant damage to the equipment and facilities in Sierre and Chippis. Cleaning and drying operations, as well as the testing and maintenance phase are all underway. To put our value operations into perspective, we employ around 700 employees in the region out of approximately 12,000 total Constellium employees. The total finishing capacity of Sierra is 70,000 to 75,000 metric tons or less than 5% of our total capacity and shipments and an even lower percentage of our total manufacturing capacity. Given the fact that Sierre primarily serves the TID and industry extrusion markets in Europe, the capacity utilization pre-flood was lower than compared to a more normal demand environment. At this stage, we are committed to limiting the impact to our customers served from these facilities. I can't say enough how proud I am of our team on the ground there and the incredible progress they have made in a very short period of time against very significant odds. Turning now to Slide 16, we detail our outlook and the impact we are currently expecting as a result of the flood. First, on the impact of the flood. We are working closely with our insurance company and the latest insurance estimates of gross damage assessment of approximately €135 million. This figure includes estimated damages cleaning costs and business interruption expenses. The growth damage assessment is before consideration of our insurance claim of up to €50 million, which we expect to get in full and have already received approximately €10 million as of today. The gross figure also does not take into account the impact of mitigation plans, which are currently underway and potential government assistance, as a result of the event of which certain benefits have already been approved. Given the uncertainty around the impact from the severe flooding at our facilities in Switzerland, including the extent of the damage, the timing to restart production and the accounting treatment of the event we are pausing our guidance at this time for 2024. We will continue to update all stakeholders at this situation unfolds, and we plan to reinstate guidance once we have a clearer picture of the overall impact. Excluding the impact from the flood, our 2024 adjusted EBITDA guidance would have been reduced by approximately 5%, primarily as a result of the weaker market conditions, we described compared to prior expectations. More specifically, our expectations of recovery are tempered further in European automotive, industrial and other specialties market. And in some North American markets where demand has been impacted by higher interest rates. We are seeing a little improvement in economic indicators in these markets and we expect these weak conditions to persist at least through the end of this year. Also excluding the impact from the flood, we expect to generate solid free cash flow in 2024 of over €100 million. We’re confident at this time that the impact from the flood is digestible this year. And at this stage, we’re prioritizing the restart based on criticality of equipment and customer needs. Finally, we remain confident in our ability to deliver on our adjusted EBITDA target of over €800 million in 2025. Turning lastly to Slide 17, we detail our key messages. Our team delivered solid performance in the second quarter of 2024, despite the mixed end-market and demand environment we continue to face and the two large planned maintenance outages during the quarter. We delivered strong free cash flow and we increased our share buyback activities in the quarter. To conclude, let me say again that I am proud of our results and our teams and very excited about our future. We have demonstrated over and over again that we have the right strategy, the right teams and the right products in the right markets and that we know how to overcome prices. Our business model is flexible and resilient. Our diversified portfolio allows us to always have options in very different market conditions. We have built the balance sheet we need to both weather crisis and seize opportunities, and our high-value recyclable and sustainable products respond to the growing needs of our customers and society. We are extremely well-positioned for long-term success and remain focused on executing our strategy and creating value for our shareholders. With that Angela, we will now open the Q&A session.
Operator: Thank you very much, Jean-Marc. [Operator Instructions] We have the first question from Katja Jancic with BMO Capital Markets. Your line is open.
Katja Jancic: Hi, thank you for taking my question. Maybe starting off on the 2025 outlook, where you are still expecting to reach over €800 million in EBITDA. Can you maybe talk a little bit about specifics what's going to drive how much of that is dependent on market recovery? Or what are just the major buckets of growth there?
Jean-Marc Germain: Yes. Good morning Katja. Thank you for your questions. So first, let us say, this is a €90 million to €100 million step-up. We need to go from the revised implicit guidance we are giving even though we have paused it on the base of continued operations to reach our more than €800 million in 2025. So if you think of these buckets, there's a number of things. First of all, the Sierre situation will be behind us largely, and will be back to near normal operations. The second aspect, obviously the Muscle Shoals weather event we suffered from in January, February of this year which we do not plan to happen again. The big driver is going to be the Neuf-Brisach recycling center. It is starting in just a few weeks from now and will ramp up quite aggressively in the last quarter of this year and will be very close to full capacity as early as 2025. We then have in Aerospace, some better contractual terms on some large contracts that we know are going to materialize, as well as we know that whatever little bit of slowdown there is this year. Those planes need to be built, need to be delivered. That's would good for the volumes next year. And in addition, our volumes will be higher next year as well. And finally we've got the Vision '25, cost reductions that Jack had mentioned on several prior calls. So these elements which are very much under our control, except for the weather, catastrophic events don't happen several times in a row will give us more than that 100 million. Now in addition, as we know, we've got some operational challenges in Muscle Shoals that we are working through. Maybe it is useful that I'll give a little bit more detail on those. Really, we are in the context of a growing can sheet market and a growing auto market in the US. We've been able to satisfy the growth of the auto markets, we are running behind in terms of can sheet. As we -- as you know, we had issues post-COVID with recruitment and stabilization of talent. These issues are largely behind us, but at the same time, we need to increase our capacity in Muscle Shoals. We've committed significant capital expenditures to build the plant and improve the efficiencies and the productivity of the plant. This is taking a bit more time than we had planned. But this should be – we are making some progress, not the same rate as what we would like to do. So this should contribute to further improvements in 2025. And then finally, we do hope that there will be some European comeback in automotive and specialties. In most of the specialties market are 30% down compared to the pre-COVID levels. Automotive, if you look at the builds in Europe, you are still at least 10% down this year compared to 2019. And every year since has been well below 2019 levels. So these will pick up as well. But we are not counting on this for reaching our 2025 target. So as you see we have got plenty of arrows in our quiver, and that's why we feel comfortable despite the odds and the difficult situation we are in to overcome the challenges we currently face and to deliver on our 2025 guidance.
Katja Jancic: If I may add another one, can you just remind us how much is the new recycling facility expected to add to EBITDA?
Jean-Marc Germain: Yes. We have said it is €135 million at more than [other 20%] (ph) roughly IRR. It took three years to build. So by and large, say €40 million is a number.
Jason Hershiser: Yes, Katja. If I can just add here, we said the CapEx is €130 million, €135 million plus working capital, right?
Operator: Thank you. The next question is from Timna Tanners with Wolfe Research. Your line is open.
Timna Tanners: Hey, good morning. I joined a little late. I want to make sure I don't ask anything that you already touched on. But at the same time, just on the flooding situation given that it's a relatively small part of your total shipments and a weaker part of the market. Is it not possible to produce some of those products at other facilities and kind of drag out the restart? Or are there reasons why you want to ramp back up maybe government support or something I might be missing? And then also, along those same specific company questions, is there something structurally wrong at Muscle Shoals, or is all that behind in terms of the challenges?
Jean-Marc Germain: Yes. Thank you, good morning Timna. And thank you. I know that you’re asking new questions. So on the Valais situation, definitely -- but we mentioned €135 million approximately impact to the operations. That includes business interruption. But that obviously, then we need to work on mitigation. Part of the mitigation is producing these products that we used to produce out of that Valais region in other plants. So we are doing just that, prioritizing for the customers that are the most in need and there is some volume that is being shifted to Singen Germany and some volumes are shifted to Issoire France. Obviously this is creating a bit of a scramble throughout the organization, but that's not our first rodeo. And we're doing just that. These are not long-term solutions. There is a need for this plant in Sierre and that's why we plan to restart it. But we may not restart every piece of equipment and run it exactly as we did in the past. And this is certainly the opportunity to sadly to make sure we really focus on the critical equipment and rebuild a plant that has a better cost base than the plant we had before the devastating floods. So that would be my answer to the Valais situation. Any other comments, Jack we have? Mitigation broadly?
Jack Guo: Yes. So I think there is a number of mitigations, which you alluded to and Jean-Marc alluded to. So I think in terms of the impact Timna of the €135 million just to be kind of abundantly clear, if you will. It's based on our work with our insurance company and that's really the latest kind of insurance estimate based on industry methodology, which came up with a gross damage assessment of approximately €135 million before mitigations. That we could have, right? So just to be clear on that point. And then if you were to look at that figure, we're very confident at this time the impact from the flood could be easily kind of digested, given our strong liquidity position of close to €870 million, which was by the way, the highest level in two years, as well as the mitigation plans that we have in place.
Jean-Marc Germain: And regarding your second question about Muscle Shoal, is there anything structurally wrong with the plan? No, there isn't. There is a lot of work to do -- to bring the capacity up to the opportunities we have. It is a constant work. It's a lot of work on the team, but we've got the right team. We've got the right tools and spending a lot of money to get it there.
Timna Tanners: Okay. Thank you. If I could, another one there is a lot of talk into this upcoming election about potential further tariffs. There is also a new mill that's ramping up production in 2025, making a lot of noise, at least on that impact. So just wondering if you could update us on any thoughts around the new competition starting up in the US. Is it going to displace imports tariffs on imports, how much meaningful impact for your operations? Thanks.
Jean-Marc Germain: Yes. So on [technical difficulty] actually, the recent developments in the market, the strength of the come-back of the strength of the can is really a testament to the fact that more capacity is needed. There are – there is a lot of import coming into the US, the equivalent essentially of nearly a greenfield. And the ramp-up will take some time as well, right? It's not like you turn it on and all of a sudden, it produces at rated capacity. So we actually welcome this development. Our customers certainly welcome it. And if anything, and I think I'll be quite open about it repeatedly. We could sell more if we could produce more. And that's a statement, both in the short term, this quarter the next quarter as well as in the medium and long-term. So I think we are in a good place. Regarding tariffs, it is impossible to predict what's going to happen. And as I think I've mentioned to you in the past antidumping, which is directed at specific customers that don't play by the rules, you can ascertain what the impact of the tariffs will be the carpet bombing blanket approach to tariffs, that's very complicated to ascertain what the impact would be because typically, there is circumventing opportunities, exemptions and all that. So it is very, very difficult to tell. So we'll wait and see, and we'll react and adapt.
Timna Tanners: Okay. So if I could -- go ahead.
Jack Guo: Sorry, excuse me, if I could just come back to the Valais topic real quick and recognizing maybe I didn't add some of the details I could have added. So just relative to the approximately €135 million of estimate, we do have insurance claim that's capped at up to €50 million for this event. And we have gotten approval from -- for some governmental assistance and that work will -- potentially there is room for more.
Timna Tanners: No, I got that. Sorry, just one more follow-up, if I could. Just tactically speaking, when would you expect to revisit your guidance for EBITDA that you suspended? And that is just for clarification, I just going to exclude the impact of metal price changes. If we just mark-to-market the latest aluminum price, you'd see some of that windfall number or at least the headline number come out in Q3. I just want to make sure that makes sense or if that's reasonable to assume.
Jean-Marc Germain: Yes. Jack will help me to answer your question. But I'll say the big driver is really the uncertainty about when we restart the operations in Sierra. And that's why we wanted to be clear about if we hadn't had the flood, we would have guided down by about 5%. And all -- so when we restart operations, it's really about making sure we have a good spending of all the damages that have happened. That's why we've got these provisional figure. We think it is going to be less, it could be more, but most likely, it's going to be less. But when we are out is really going to make a difference to the EBITDA, we'll be able to tell you sometime in October, I think by the time, we publish Q3 we'll have a very good idea of when we will restart. And just to give you a kind of mental image, right? Imagine acres and acres of plants under roof, under five feet of water for a couple of days. And then when the water is received, everything caked in modern silt, eight inches thick. That's what we got to deal with. Power hasn't been restored yet to the site because of damages on the transformers and the grid. So there is a lot of work to clean up make sure that every motor, every electrical cabinet, every bearing is working properly and then we'll -- we can restart. So that's why it takes time. We have an idea of the magnitude of the damage, but time is needed to properly restart safely our operations.
Timna Tanners : Okay, great. Thank you.
Operator: Thank you. The next question is from Bill Peterson with JPMorgan. Your line is open.
Bill Peterson: Yeah, hi. This is Bill Peterson. Thanks for taking my questions and thanks for all the insights you shared on the call. On the Switzerland sites, you talked about accounting for 5% of shipments and then less in terms of revenue. But I guess, just to be clear, what is the sort of, I don't know, last 12 months or some way to think about the EBITDA contribution of the site?
Jack Guo: So Bill, well, we won't be precise here. But I think we did put out there the finished capacity, just to give you a rough idea, right? And as we've said in the script, the activities for those end markets were lower given some of the weaknesses in those end markets. So I think you can get to sort of a rough ballpark, but it is not a significant contributor to our overall earnings by any means.
Jean-Marc Germain: And Bill, the other thing I will say that. Yes, the other thing I'll say that under all likely scenario, most of that will be restored in 2025. So think of it as a big one, it one-time hit as we essentially at the cost of the plant, yes we have some systems. But we have the cost of the plant, but it's not producing anything for a few months. That's what the impact is this year. And obviously, you've got some inventory that has been damaged, some equipment that we'll need to repair. So that's all in the €135 million max number. But then once that's behind us, which is by the end of this year, we're back to -- from a financial standpoint, back to normal.
Bill Peterson: Yes, okay. Thanks for that. And then I guess how should we think about the net debt target given the cut to free cash flow guidance and you are already kind of pushing up against the higher end. I guess do you have an appetite to exceed this target or buybacks be on hold? How should we think about the net leverage as well as buybacks from here?
Jack Guo: Yes. So it is a really good question. So look, I mean, we are comfortable with our capital structure. Our leverage is at a comfortable level. So we won't be too bothered by intra-year fluctuations in leverage, right? Our goal is still to aim to maintain a leverage between 1.5 times to 2.5 times. And now if we are talking about cash generation versus buyback and with the corresponding revised guidance, and the Valais situation. So I think the way we are looking at it, Bill, is the Valais flood event, it's really sort of a onetime in nature, right? And we are still on track to generate significant free cash flow over €100 million, excluding that impact. So our liquidity is very strong, as I mentioned close to €870 million. So we can easily digest it the impact from the flooding event. It doesn't really change how we look at shareholder returns. So we are still aiming to return a large portion of our free cash flow this year to share buybacks, and we're committed to the three-year program.
Bill Peterson: Thanks Jack, thanks for the remark.
Operator: Thank you. The next question is from Corinne Blanchard with Deutsche Bank. Your line is open.
Corinne Blanchard: The first question, can you try to help us bridge the 2025 EBITDA? So you maintained the €800 million of EBITDA. Just trying to understand what would be the key bucket or key items to get us from whatever you would do in 2024 and reach that €800 million for next year?
Jean-Marc Germain: Good morning Corinne. So I'll rephrase what I said in the first question. So call it a €90 million to €100 million bridge to more than €800 million next year just to give us a little bit of flexibility and latitude. So number one, as I mentioned the Sierre event is digested behind us and we are back to operations that are essentially normal there. We do not anticipate another ice storm and a snowstorm in Muscle Shoal that puts us down for nearly two weeks. So then you've got the Neuf-Brisach recycle center that's going to be up and running. It is going to be starting just in a few weeks from now. So we feel very comfortable about our ability to deliver on this one. And in Aerospace, we have got two factors. One is there is going to be more volume next year, that's contractual, and then there is also better contractual terms. That's also contractual by definition. And finally, we've got Vision '25 cost savings, as Jack has alluded to a number of times on past calls that will have a full year impact next year. So the addition of these is well in excess of €100 million or is around €100 million, let's say. And in addition, we are going to have a better performance in Muscle Shoals, as all the capital expenditures we are spending there to improve the productivity of the plant is paying out. And we also have most likely some European come back. So that is the one we can have different views about. But as we mentioned, there's been -- it's been five years now that the -- for instance, the automotive markets in Europe have been below pre-COVID levels. And at some point, Europeans will need to change their cars. So that's going to be also some kind of a bounce back volume at some point which will benefit us.
Corinne Blanchard: Great. Thank you. And sorry, if I joined the call a little bit late. But so the second question you mentioned industry yard specialty markets, they remain weak. Do your vision at some point to maybe exit those markets and move your capacity towards auto and maybe packaging, if you can do it? Or would you remain in those markets?
Jean-Marc Germain: No, we don't think of exiting. We view the diversification as an asset. But at times, obviously, when you're diversified into many markets, you always have one market that is suffering a bit. There is actually a subtle shift into more automotive that's taking place in Europe. Now the timing is not very fortunate, but time we think that's a good thing. But fundamentally, we believe that the specialties markets we have can be good markets for us, and we have work to do to improve product mix and focus on niches that are more remunerative. And that's why, for instance, we've communicated just today around the investments we're making with Lotte to provide full stock for battery electric battery material. That's one way to use our assets towards more contributive markets. So that's a constant work. We do that all the time every year. And over time, we are shaping a better specialty portfolio. So no, we don't plan to exit further. But that said, I mean, that's a very legitimate question. Last year, we exited the extrusion market in Germany, and sold three plants because these were not satisfactory. But at the moment everything we have, we like and we just try to make it stronger.
Corinne Blanchard: All right. Thank you.
Operator: Thank you. [Operator Instructions] The next question is from Josh Sullivan with The Benchmark Company. Your line is open.
Josh Sullivan: Hi, good morning.
Jean-Marc Germain: Good morning Josh.
Josh Sullivan: Jean-Marc, you mentioned earlier in the call, I think you said whatever slowdown there is this year for aerospace. How are you thinking about the new A320 build rate long-term assumption? It sounds like it is still working its way through the system. Maybe what scenarios are you leaning towards for aerospace pull this year and next?
Jean-Marc Germain: Yes. So we are a little bit more cautious than what the OEMs were publishing, I guess. And we continue to be a little bit more cautious, realizing that it takes many, many parts and many, many suppliers to build an aircraft. And given the fact that they are still in ramp-up mode, here or there -- there will be some growing pains. So I would look at it as more upside, upside is more likely or possible than downside in terms of how we look at it. But we are not a limiting factor in the supply chain, right? I just want to make that very clear. We are a very dependable supplier and able to ramp up.
Josh Sullivan: Yes. I guess there is a perspective that dependable suppliers like yourself might be paced as the less dependable suppliers are some more put towards that. I mean, are you seeing that dynamic?
Jean-Marc Germain: I guess a little bit yes. Our growth is constrained by the weakest link in the supply chain, I guess.
Josh Sullivan: And then kind of looking ahead, what's your perspective on when wide-bodies really start to have more of a pull on the market versus narrow-body?
Jean-Marc Germain: It seems like they are starting to come back. Yes, it seems like they are starting to come back. And we're seeing that in the perspective that are shared with us with the OEMs. So that's good news to us. The narrow-bodies were the ones coming back with a vengeance post-COVID and wide-bodies were lagging, and that gap is closing now.
Josh Sullivan: Got it. And then within TID, what is the demand for defense products look like? And then is there any impact to that market from the flood?
Jean-Marc Germain: Okay. So on defense, we produced quite a bit of defense in the US out of Ravenswood. So that's not impacted. We have some production out of Sierra for the defense market. Quite a bit of that has a backup in Issoire. And given the fact that we've got a little bit of open capacity with Aero because we are not the constraining factor in the supply chain that is allowing us the ability to produce some of these parts that are producing Sierra to produce some in Issoire. So that's part of the mitigation that will bring that €135 million down, for instance. We do not expect -- I mean we very much have in mind continuity at our customers, and we do everything we can to make sure that they are not impacted. And at the moment, even though the situation stands with some customers, we've been able to deliver what they need. And we think we will be able to do that for most of this year, so through the painful event in the Valais.
Josh Sullivan: Got, it. I jump again. Thank you for the time.
Jean-Marc Germain: Thanks Josh.
Operator: Thank you. We currently have no further questions. So I'll hand back to Jean-Marc for closing remarks.
Jean-Marc Germain: Well, thank you very much for being on the call today. As you can see, we are going through a little bit of a rough patch the teams are fully capable of overcoming them. I’m actually very proud of them. I was visiting the Valais last week, and I come back from this visit energized. So thank you very much, and I look forward to updating you on our progress as soon as possible. Thank you. Goodbye.
Operator: Thank you, Jean-Marc. This concludes today's call. Thank you all for joining. You may now disconnect your lines.